Operator: Good morning, ladies and gentlemen, and welcome to Media General, Inc.’s Earnings Call for the Second Quarter ended June 30, 2015. Today’s call is being recorded. Now the company will read a brief legal statement.
Andy Carington: This morning the company announced its second quarter 2015 results. The press release along with the supplemental data can be found on the company’s website at www.mediageneral.com. When available, a full transcript along with the replay of today’s call will also be posted on the company’s website. Today’s presentation contains forward-looking statements, which are subject to various risks and uncertainties. They should be understood in the context of the company’s publicly available reports filed with the SEC, including those sections in the reports concerning risk factors. Media General’s future performance could differ materially from its current expectations. The company undertakes no obligation to update these forward-looking statements. Today’s speakers will be the company’s President and CEO; Vince Sadusky, who will provide a high level overview of our results and achievements; and Jim Woodward, the company’s Chief Financial Officer, who will discuss our financial results and guidance. They will take your questions after their prepared remarks. And now I’ll hand the call over to Vince.
Vincent Sadusky: Thank you, Andy. Good morning everyone, and welcome to our earnings call. More than halfway through the year, our team has made great strides on integration and operating initiatives. I’m excited to share the progress we’ve made, but first I want to provide an overview of the company’s record second quarter financial performance using same asset or as adjusted comparisons. Our total net revenues were $321 million, up from $318 million compared to prior year. This is the highest revenue Media General has ever achieved. And, our increase in revenue was realized despite the loss of $10 million in political advertising in this off-cycle year. Our EBITDA of $91 million was within $2 million of our prior year’s EBITDA. This is a terrific accomplishment considering network programming payments increased by nearly $17 million and we continued to make important investments in our digital businesses. Excluding the impact of higher network programming payments, operating costs remained flat compared to the prior year. This was primarily driven by significant operating synergies achieved from the merger of our predecessor companies. Our EBITDA margin was a solid 28%, which we achieved while making substantial investments in our people, training, systems, and digital businesses. In fact, excluding our digital businesses, our margin was 32%. We believe there is a lot more upside potential as we have not yet realized our full merger synergies, including the majority of the new Media General’s retransmission fee agreements. As you may recall from our Investor Day presentation in March, approximately 60% of our pay-TV subscribers are up for renewal next year. Last week, we reached a deal with Mediacom after being off of its cable system in 14 of our markets for a little over two weeks. We are pleased that Mediacom recognized the high value of our top-rated programming, including local news, weather, sports, entertainment and other unique content. We have successfully negotiated agreements with hundreds of pay-TV providers over the past year at market rates. However, the reality is that the current market for local TV’s highly rated programming services is still undervalued. It is very important that we close the huge cap that still exists between the large audiences that large our stations and the fees paid for our content. Before I hand it over to Jim for a deeper dive into our second quarter financials, I wanted to point out a few operating items. Six months into our merger, we’ve been hard at work deploying best practices across our group. And as a result, we gained revenue market share against our competition as evidenced by Q1 and Q2 market audits. Despite changing media habits, we increased overall local news ratings by 14% according to Nielsen’s May 2015 ratings research report. In fact, our superior journalism earned us a national Edward R. Murrow Award for hard news reporting and 22 regional merits as well as many other local and regional awards. We announced the fall launch of our original programming series Hollywood Today Live from our digital studios in a coproduction with the FOX Station Group. Hollywood Today Live will air in several FOX TV markets, including New York, Los Angeles and Chicago and two thirds of Median General’s markets. And we created a New York City-based national business development group for broadcast, led by industry veteran Julio Marenghi, we got a great plan in place to bring our creative ideas and scale to national advertisers. In addition, we are a founding member of the NewsON initiative, along with ABCs, O&Os, Cox, Raycom and Hearst. We are always looking for innovative ways to share our superior local content with a broader audience. This partnership gives us expanded reach to an additional app, social, and the ever important growth in OTT. During the quarter, digital revenue was $5 million below the prior year. Digital media is a dynamic marketplace that is continuously evolving. This year, we will begin a business transformation including introducing an automated buying product to compete with the growth of programmatic advertising. We made progress in filling key open positions by hiring very talented leadership, national sales people and product specialists. The Digital New Front at the end of April was where we unveiled our connected screen strategy to top tier agency buyers and brands. Given the amount of new business on the books and the high-quality conversations we continue to have with direct brands and agencies, along with our unique assets, we are confident this business will return to revenue growth in the second half of the year. Even though we are only seven months into our merger, our company bought back in $19 million or 1.1 million shares of our common stock and amended our credit facility to where our cost of debt now averages 4.6% on a pre-tax basis. In addition, since our merger, we paid down more than $135 million of long-term debt. By the end of this summer, we will have completed our systems implementation including traffic, finance, digital and business performance tools. Looking ahead, our third quarter outlook, we are seeing same station core broadcast pacing up 2% with particular strength in local advertising. On the digital side, the pacing for our collective digital businesses are also up, reflecting significant growth and high quality original content and social campaigns. Although this is an off year for political, scale and location in key states with strong local news are positioning us well for what’s shaping up to be a very competitive primary and national election season. To maximize this opportunity, we established a Washington D.C. news bureau that will provide breaking news, political news and analysis, in-depth investigator reporting and other original stories of interest to our TV stations across the country as well as our content producing digital businesses. Heading up the initiative is Jim Osman, a veteran D.C. political reporter, who worked for NBC News’ Meet the Press with Tim Russert and served as the National Investigative Correspondent for Scripps Television. He is well known [inside the Beltway] and will give our stations greater access to local lawmakers as well as more unique storylines during the election cycle. Finally, the FCC announced it would begin the spectrum auction at the end of the first quarter 2016. As outlined during our Investor Day, Media General is positioned well to consider several spectrum monetization opportunities in projected high demand markets. We are big believers in the broadcast business and its future, but we also have done much work in this area to refine our strategy and consider potential auction opportunities. So in summary, the management team and board are very excited about the future. Making these investments now while delivering strong cash flow and integration synergy positions us for a terrific 2016. With the realization of more synergies, significant pay-TV subscriber fee renewals, a robust election year and the return of Olympics, with the great summer programming on our 14 NBC stations, coupled with the return of capital to shareholders, a great NOL position of reduced interest expense, I believe we could be on track to achieve record cash flow in 2016. And now, I will turn it over to the Jim.
James Woodward: Thank you, Vince. Good morning everyone. We’re pleased with our second quarter results and the progress we’ve made with our merger integration. Before I begin, I’d like to draw your attention to the explanation of GAAP results in our press release. In order to help you make more meaningful comparisons, we’ve provided supplemental combined company financial information on our Investor Relations page of our website, mediageneral.com. The as adjusted amounts reflect those assets we currently operate. We believe the same asset comparison provides a more transparent and complete basis in which to analyze our current operating results. My comments today are going to focus on the combined company, using the information provided in the supplemental combined company financial information. As Vince mentioned, our record net revenues came in at $321 million, up 1% compared to $318 million in the prior year. Diving deeper into our revenues, net local revenues increased 9% to $220 million compared to $201 million in the prior year. The increase was driven primarily by the growth in pay-TV subscriber fees. Net national revenues decreased 2% to $53 million compared to $54 million in the second quarter of 2014 and political revenues were $3 million during the second quarter compared to $12 million in the prior year. Net local time sales were up 2%. Net digital revenues which include our TV station websites declined by $5 million to $36 million in the second quarter. And as Vince mentioned, this was a result of the transformation of [Federal related] media, the headwinds, the programmatic advertising pricing pressure for which we’ve instituted an automated buying strategy and some turnover of key sellers for which we implemented a robust recurring plan. We believe our digital business is on track to return to growth by the end of the year. Our broadcast revenues are within our guidance of $284 million. Automotive advertising, our largest category, decreased 1% in the second quarter compared to the prior year. Drilling down a little further on auto, we believe the Honda was the driver of the year over year decline as they dismantled its dealer groups in mid to smaller markets. Looking forward, automotive spending looks solid into the third quarter. Other categories that were up in the quarter include retail, services, medical and financial. Turning to expenses, our operating expenses and SG&A for the quarter increased 5.9% or $12 million to $213 million. The year over year growth is primarily the result of higher programming payments to networks. Excluding the increase in programming payments, our operating expenses and SG&A decreased 3%. We continue to do a great job managing our expenses and the integration teams are ahead of plan realizing the merger synergies. BCF for the quarter was down 9% to $96 million compared to $105 million in the prior year. Corporate and other expenses excluding stock-based comp was $8 million compared to $13 million. The primary driver of the year over year decline reflects our focus on results of our work to realize the merger-related synergies. Adjusted EBITDA decreased $2 million to $91 million in the quarter compared to $93 million in the prior year. And on a year-to-date basis, adjusted EBITDA increased $3 million or 2% to $162 million. Turning to Media General’s debt and key credit metrics, at June 30, 2015, we had cash on hand of $72 million and $147 million availability under our revolver. Our net debt at the end of the quarter was $2.2 billion. During the quarter, we repaid $101 million of debt and leverage, as defined under our senior credit agreement, was 4.99 times. In May, we successfully reprised our term loan B, lowering the margin by 25 basis points. The impact of the lower rate is about $4 million in annual cash interest savings. Our term loan B carries a base rate of 3% with a LIBOR floor of 1%. The previous margin was 3.25%. As Vince mentioned, during the second quarter, we began our previously announced share repurchase program. As of the end of the quarter, we repurchased approximately 1.1 million shares for just under $19 million. As we stated the strength of our cash flows allows us to consider and implement return on capital plans, invest in the business and pay down debt. Focusing on the outlook for the quarter, we expect net revenues will range from a decrease of 3% to an increase of 1% compared to net revenues of $327 million in the third quarter of 2014. Our Q3 2015 revenues are impacted by lower political advertising, which is offset by higher pay-TV subscriber fees. Digital revenues are expected to be $43 million to $48 million as compared to $43 million in the third quarter of 2014. We expect that all of our efforts at retooling our digital business to have a positive impact on our results in the back half of the year. For expenses, we expect that direct operating and SG&A will increase in the range of 11% to 12% compared to expenses of $201 million in the third quarter, driven largely by growth in programming fees paid to networks. Excluding the programming fees paid to networks, direct operating and SG&A expenses would be up 3% in the third quarter. We expect corporate expenses excluding stock-based comp to be about $8 million and given our significant NOL balance, we continue to expect that we will not need to pay any significant cash taxes. For the full year 2015, we expect capital expenditures to be about $55 million. And lastly, we remain confident in our 2015/2016 free cash flow guidance given on our Investor Day of $540 million to $600 million. And now, I would turn it back to the operator for Q&A.
Operator: [Operator Instructions] We’ll take our first question from Marci Ryvicker with Wells Fargo Securities.
Marci Ryvicker: Couple of questions. For your third quarter, your net broadcast guide, what is baked in for core pacing ex-retrans, ex-political? And then the next question is on digital. I guess, what is the issue for serviceability into digital, because it keeps missing? I think that’s one of the biggest issues we are all having.
Vincent Sadusky: So a couple of comments, Marci. First off, on net revenue on the core business, I think the guide was up for that. I think up 1.5 percentage points to 2 percentage points up to about 4 percentage points. And as I mentioned on the call, we are pacing just below 2% right now. So third quarter feels healthy to us and I’m sure we’ll get the question around autos. Autos is really doing well in the third quarter as well. With regard to digital, the digital pace is much more difficult to predict versus television. Obviously, we’ve got our math models built on TV, given years of experience. On the digital side, we have so many different business lines from programmatic to social to media campaigns to video, it’s much more challenging and the percentage is, of course, fluctuations are greater given, A, the lack of visibility relative to broadcast and B, the smaller revenue base relative to broadcast as well. On that front, we feel as if the business transformation has been substantial, not enough time really to get into it on a call, but the quality of people we brought in, the product reinvention, the time spent in strategic sessions with significant advertisers to understand their digital spend coupled with some very good products has given us the confidence to feel as if we’ve really turned the corner and we’re disclosing and discussing positive revenue growth for the third quarter and for the rest of the year in digital.
Marci Ryvicker: So you haven’t yet revised your 2016 digital guide, or your longer term guide that you provided at the Analyst Day? Have you done that?
James Woodward: The Analyst Day, we had 2016 of $240 million. And no, we haven’t revised that, but obviously getting there is going to be a little more work than what we’d originally thought, but most importantly we are confident in our overall free cash flow guidance of $540 million to $600 million.
Operator: And we will go next to Tracy Young with Evercore ISI.
Tracy Young: Could you give us a little more color on the auto category and what’s happened with the Honda business?
Vincent Sadusky: What we understand is that it was – as we said, it was down, but the driver of that was the local dealerships primarily Honda, they had dismantled their local dealers and kind of taken that money off the table. From what we’re seeing, domestic and foreign are strong and we believe that Q3 is pacing ahead and stronger.
James Woodward: Tracy, we are seeing autos for the third quarter pacing up 6%.
Operator: We will go next to James Dix with Wedbush Securities.
James Dix: A couple of things. I guess just first on how you think about your ad growth, because I know you break out digital separately and I’m assuming that all the core time sales data that you give excludes digital. So I’m wondering – I know you don’t report it this way, but it just seems as you do more and more integrated selling, is there any color you can give in terms of what your ad growth would be if you thought about combining the digital with the local time sales, especially in packages which are sold by the same sellers, because it just seems as more of your unit goes to digital platforms, it may become more relevant for us to see that? And then I had two follow-ups.
Vincent Sadusky: I do think breaking it out separately is the way that we think about the business. There are converged sales, but for our standalone digital businesses by and large those are separate advertisers and then we have converged national and converged local sales. So we just think provided the information this way since they have different growth trajectories is more helpful to the investment community. So for example, in MND&A we treat digital as a segment and so in there you can see the components, you can see digital separated out from broadcast.
James Dix: So all of the data you give in terms of time sales excludes the digital component, that’s just pure time sales at your core stations?
Vincent Sadusky: Correct. So when we were replying to Marci’s question about the 1.5% to plus 4% range guide for Q3, that’s core television time sales that excludes digital.
James Dix: And just for comparison, the second quarter number there on that was – corresponding to the 1.5% to 4%?
James Woodward: Net broadcast revenues of $273 million to $281 million, are you saying...
James Dix: Corresponding to the time sales pace, just want to – the 2Q number, I think you may have given it, but I think I might have missed it.
James Woodward: Local was $220 million and national was $53 million, that’s core.
James Dix: And was that like core up 2% in the quarter, that time sales figure?
James Woodward: About 1%.
James Dix: A little over 1%, okay. And then you gave an update on digital, that’s one of your components of your guide which you are reaffirming for free cash flow, are there any other – we are halfway through 2015, any other bigger puts and takes in terms of things which are tracking above or potentially below components of the free cash flow guide that you would just call out for us?
Vincent Sadusky: I guess, thinking back to Investor Day and Jim correct me where I am wrong, I think digital is below plan, digital revenue. I think on the expense side, we’ve done better as a result of acceleration of synergies. So in my mind, those are the kind of the two significant variance components relative to what we laid out from a free cash flow perspective on Investor Day.
James Woodward: I think that’s right, and I would add to that, we think that the retrans markets is as healthy as we expected or healthier. And we feel better about our political every day.
James Dix: And then my last one is just on the spectrum, I know Sinclair talked a little bit on their call yesterday about just going back and looking at some of their assumptions and talking about the potential to participate in the auction without a big impact on free cash flow. In your Investor Day, I think you talked about maybe $2 to $4 per share range depending on the scenarios you thought about, any update that you have in terms of how you are thinking about approaching the spectrum auction or the particular range of values that you think are achievable?
Vincent Sadusky: No, I think that place card that Brett shared with everybody on Investor Day where we triangulated to values between kind of the FCC’s estimated opening bids, the last several AWS auctions, the Greenhill reports, et cetera, we really don’t have a better estimate than that. We’ve run – there’s a couple of models that have been run, using Monte Carlo casino model and I think that that reaffirms the values by and large that we shared on that day. There has been a lot of work done over the summer, I think on behalf of various broadcast groups with large spectrum holdings in the markets that are thought to be very, very strong markets from a spectrum demand perspective around things like channel sharing as the FCC has refined its rules around that, so I think there is a fair amount of activity taking place. So we really have no update, ultimately what the values are and the level of what participation obviously nobody knows. But we are doing our work in this area.
Operator: We’ll go next to Leo Colt with RBC Capital Markets.
Leo Colt: I’ve got a couple. First, I guess it looks like your 2Q 2015 direct operating SG&A expenses ex-reverse comp were down about 6%, that’s pretty strong given the flat guidance. What drove that? And then what’s driving the expectation for an acceleration of 3% growth in 3Q?
Vincent Sadusky: Q2 was a good quarter for us; we had a couple of things. Commissions drive that and we also had medical experiencing, we’re self-insured, that came in a couple of million dollars less than we had anticipated. And because we are self-insured, we just had to see if that holds up for the back half of the year. And we just did a good job managing our expenses. We are capturing the synergies, we have teams that are working very, very hard on capturing those synergies, but we also have those same teams that just being good solid operators in managing the resources given to run the business. So what’s going to change in Q3? Q3, if you were to exclude the programming payment and you were to exclude the commissions and increasing in publisher cost, various types of things that we are planning and tied to revenues, the direct operating and SG&A would be down about 1%.
Leo Colt: And then how should we think about expense growth in 4Q, is there going to be a similar growth rate, year over year growth rate versus 3Q or?
Vincent Sadusky: In Q4, the drivers, I think our controllable expenses, I think you will see a similar pattern to what you’ve seen this year. The variable part of that would be once again the publisher cost, the commissions and those types of things. So I expect that we are realizing the synergies as we go along and we are doing a great job at that. So they are kind of baking in and once they are in, they are in. So I would expect a similar pattern.
Leo Colt: And then just one final one, [indiscernible] impact of Mediacom, the blackout there, is it meaningful or pretty much not a big issue?
James Woodward: We were down two weeks, it’s insignificant.
Operator: [Operator Instructions] We will go next to Dan Kurnos with The Benchmark Company.
Dan Kurnos: Vince and/or Jim, I just kind of want to go back to Marci’s initial line of questioning here, just on the forward guide, may be if you could give us your thoughts on, I don’t know if you want to be specific or not around how political you think will come in in Q3 and also may be some additional color in terms of how you think the primaries shaping up from a more crowed perspective is going to benefit or hurt Q4 this year as we see early political? And then Vince on national, I know you held out national being weak in certain categories in Q1, a little bit soft Q2, and you guys called pacings in Q3 up based on strength in local, I just want to – understanding that this can be more of a bucketing issue, but just how you think about national overall in terms of pacing if it continues to deteriorate or how that’s shaping up would be helpful as we think about going forward.
Vincent Sadusky: With regard to political, still very early, obviously a ton of folks in the race which is normally a good thing, we hope everybody has a good showing tonight in the debate and they all continue to pursue the candidacy. The only kind of early signs we’ve had, our sales team meeting with the various candidates, et cetera, we’ve seen some early money, some candid impact money for example for Senator Rubio in Iowa and South Carolina, but still kind of early. So for example in the third quarter, of course, there will be a significant decline from last year and the hope is that money comes in earlier and sooner ahead of primaries in the fourth quarter, but very early to tell. So we do think that there is obviously going to be a very strong political momentum around advertising coming up likely beginning the end of the fourth quarter, we’re having those conversations, but nothing significant so far. With regard to national pacing, in the guide we provided, most of the strength is coming from local. But we are showing or forecasting at the midpoint some growth on the national front. And I think that’s really been led from what we can see so far into the quarter by autos, by the auto category.
Dan Kurnos: And then just on the digital efforts, it’s encouraging that you return to growth in the back half of the year, just maybe a couple of questions on how you think about pacing in terms of growth, what strategies in addition to the personnel you have in place now that are going to help accelerate that growth and understanding that 2016 might be a difficult target to achieve relative to the initial guidance you gave, just how we should think about maybe on the bottom line since it is margin dilutive at this point, how trends could occur over the next several quarters as you guys start to re-ramp that business?
Vincent Sadusky: We are hopeful that through the first half of the year we’ve had one of these inflection points where we needed to invest in certain lines of businesses, including an automated buying solution as a response to programmatic, coupled with a real focus on accelerating our connected screen strategy around high quality content, which – these interesting ideas and effective in-content advertising solutions are things that are very attractive to national and regional brands. So that’s been really the remake for us. It was our longer-term strategy to take advantage of our video assets, our unique scale having combined our two companies together, our terrific traffic and volume and great video production on our owned and operated properties, including the makeover and transformation of the Federated Media acquisition that we made just over a year ago or so as well. I think kind of the trending in digital that you’ve seen over the last year or so with significant deterioration and overall CPMs as a result of cheap programmatic platforms caught us frankly by surprise in terms of the speed of the transformation and we really needed to invest and transform very, very – much quicker than we initially anticipated. So I am very encouraged by the high quality folks we brought on board, by the ability of our terrific team to put together a really impactful and meaningful new front which basically gave us the ability to tell our story, our digital story with our unique video assets both locally and nationally to brands buyers in Madison Avenue within less than really four month of our new company coming together. And the momentum from that has just been really terrific, because we are experts in this area. We’ve been doing television, video advertisements for 50 plus years. We get it and we’ve invested on the digital side really being a digital agency for seven years or so right now. So it’s something that we are feeling is critically important to the evolution of our business and we are confident about our return to growth in the back half of the year.
Dan Kurnos: And just in terms of the margin trends, I don’t know if you addressed that?
James Woodward: On the margin trends, as we disclosed in Investor Day, the margin we think goes from somewhere in the low single digits to the high teens over time. It’s one of these businesses that is kind of the typical growth curve. We’ve invested in infrastructure, in people, so that cost is significant. So the incremental cost of delivery is not all that significant and then there is a cost as well of media campaigns that are running on other companies, our non-proprietary sites that dilutes the margins as well. But I think what we’ve laid out in Investor Day makes sense, we are slower to achieve those numbers than originally projected.
Operator: We will take our next question from Barry Lucas with Gabelli & Company.
Barry Lucas: Just a couple around capital allocation and how you think about it going forward, so what went into the decision-making on in terms of debt reduction, how much stock you bought back and where does that leave you on the M&A front in terms of where is your appetite and what’s the pipeline look like?
James Woodward: On the debt reduction and the stock buyback, we previously announced the program to repurchase the shares, so we believe that we wanted to be opportunistic about that and so it’s the first available window which was the open window we had, we instituted the program. We have a plan in place, Barry, as we were announced and we plan to execute on that plan as far as return of capital to shareholders and our repurchase program. And the debt reduction was – we had the QI proceeds return to us in June and so that was $120 million of cash. And like you said, with the strength of our cash flows, we can do return of capital to shareholders and as Vince mentioned, invest in our business and be opportunistic about paying down some debt, but I think we do those things in that order.
Vincent Sadusky: And with regard to M&A, Barry, I think even given the share buybacks and the debt pay down, which we think is good balance sheet management and obviously we believe very strongly in our stock, we’ve got plenty of capacity. We’ve got an undrawn revolver and when you look ahead to the cash flow prospects going on to the future, 2016 in particular, it’s just terrific. So we are very much on the lookout for M&A, we are also very disciplined around value as well. So I think you will see us continue to work that, especially given we’re getting a lot of the heavy lifting around integration and systems and best practices behind us now in the first half of this year.
Operator: We will were next to David Cohen with Midwood Capital.
David Cohen: I was wondering if you could give some more color on your expectations around retrans renewals in 2016, how does that pace throughout the year? And I know that you don’t want to show your hand too much, but is there any way you can frame the opportunity in terms of revenue growth that you anticipate, I appreciate you reiterating cash flow guidance, but it would seem based upon trend line for 2015 versus 2016 that 2016 has to be a much greater contributor to that aggregate to your cash flow than 2015. And it’s not going to be just political, it’s I presume a fair amount will come from retrans. So I was wondering if you could just give more color on that?
Vincent Sadusky: So what we laid out on Investor Day are two-year free cash flow projection, clearly 2016 was a much more significant driver just given all the attributes associated with 2016 that you just laid out. We still are reaffirming that free cash flow guide. With regard to how retransmission fees fit into that, it’s very challenging for me to get into details of the composition and the MSOs and the timing, et cetera, just given, A, the confidentiality and B, it just really doesn’t work in our favor to have a detailed conversation about that. I would just point you to the growth that we’ve experienced and our capabilities in this area and match with our scale and the value of our programming in terms of the quality of ratings and the quality of our footprint.
David Cohen: Would you say that is it more than the majority that you would capture at least half year, I guess just in terms of the lift and how much of the lift you will get for the full year or most of the year, how would you describe the timing of the pacings on the contract renewals, not the magnitude, does the timing?
James Woodward: The timing on that, we had 30% and 60%; 30% in 2015 and 60% in 2016. So in 2016, you will get a full run rate of 30% and then you are going to pick up the early renewals, the bulk of the early renewals in 2016. So the timing on that is that is it’s not calendar wise, right. It’s – but those – the market for retransmission remain strong and I think with the improving position of our content and our rating, all it does is strengthen our product and strengthen our hand when we go into negotiate with NPVDs. So I’m trying to answer your question without really answering it, because as Vince pointed out it’s not constructive.
Operator: And we will take a follow-up from Barry Lucas with Gabelli & Company.
Barry Lucas: Vince, I just want to touch on the [indiscernible] declining pay-TV subs and try to gather your thoughts in terms of what happens, whether in terms of cord cutters or cord shavers, if you will, skinny bundles, and how inside do you think the local broadcaster is in an OTT or streaming world?
Vincent Sadusky: I actually feel very confident about the ability for our unique content offering to be one of the most highly desired in any type of delivery platform. There is clearly a trend towards non-linear viewing, I think on that of convenience, and it’s essentially driving different consumption pattern, primarily for serialized scripted programs. So you have the ability to read the entire book in a couple of sitting at a pace that’s different than you are forced to view in the past. And that’s not attractive to everybody, but for large number of people they are enjoying that experience. But by and large, when you look at our offering, there is clearly a massive amount of people that enjoy the live linear lean back experience of driving the channel changer, laying back on a couch and kind of [indiscernible] finding what’s available coupled with topical freshened up programming on a daily basis that is local news and sports and morning shows and late-night shows, and things of that nature. So I feel good about it. To say it in another way, if I am a person that is very price sensitive and I don’t need all the offerings, which by the way I still think is a very attractive platform, triple-play or quadruple play at the price point which it’s offered, I think for the vast majority of people, still awfully cheap entertainment and you get a lot of bank for your buck, but if I want a skinny down bundle, and only want to pay $50 a month, I got to – I feel very good about our competitive positioning that our channels would be one of the top choices for people in that skinny down bundle.
Operator: And with no further questions in the queue, I’d like to turn the conference back to the company’s CEO for any additional or closing remarks.
Vincent Sadusky: Thank you all for the interest in Media General. We look forward to updating you next quarter.
Operator: Again, that does conclude today’s presentation. We thank you for your participation.